Operator: Ladies and gentlemen, thank you for standing by. Welcome to iHeartMedia, Inc’s Third Quarter 2014 Earnings Conference Call. For the conference all participants are in a listen-only mode. However, there will be an opportunity for questions. Instructions will be given at that time. (Operator Instructions) And as a reminder, today’s call is being recorded. I'll turn the conference over to your host, Effie Epstein, Vice President of Investor Relations. Please go ahead.
Effie Epstein: Good morning. And thank you for joining our 2014 third quarter earnings call. On the call today are Rich Bressler, President and Chief Financial Officer; and Brian Coleman, Senior Vice President and Treasurer. We'll provide an overview of the third quarter 2014 financial and operating performances of iHeartMedia, Inc., iHeartCommunications and Clear Channel Outdoor Holdings. For purposes of this call, when we describe the financial and operating performance of iHeartMedia, Inc., that also describes the performance of its subsidiary, iHeartCommunications. After an introduction and a review of the quarter, we'll open up the line for questions. Before we begin, I’d like to remind everyone that this conference call may include forward-looking statements that involve uncertainties and risks. There can be no assurance that management’s expectations, beliefs or projections will be achieved or that actual results will not differ from expectations. Please see our annual reports on Form 10-K and our quarterly reports on Form 10-Q filed with the Securities and Exchange Commission for a discussion of important factors that could affect our actual results. Pacing data will also be mentioned during the call. For those of you not familiar with pacing data, it reflects revenues booked at a specific date versus the comparable date in the prior period and may or may not reflect the actual revenue growth rate at the end of the period. During today's call, we’ll provide certain performance measures that do not conform to Generally Accepted Accounting Principles. We provided schedules that reconcile these non-GAAP measures with our reported results on a GAAP basis as part of our earnings press releases and the slide presentation, which can be found on the Investors Section of our websites, iheartmedia.com and clearchanneloutdoor.com. Please note that our two earnings releases and the slide presentation provide a detailed breakdown of foreign exchange and non-cash compensation expense items, as well as segment revenues and OIBDAN. With that, I will now turn the call over to Rich Bressler.
Rich Bressler: Thanks, Effie, and good morning, everybody. Once again, as Effie mentioned, you can find our prepared slides on our website. This is our first earnings call as iHeartMedia, Inc. and I am very excited about the opportunity this change gives us. Let me quickly remind you that CC Media Holdings is now iHeartMedia, Inc. Our former Media and Entertainment division is now iHeartMedia and there is no change in the name of our outdoor business. Let me spend a couple of minutes sharing our thinking behind becoming iHeartMedia. This change let us capitalize on the powerful iHeartRadio brand that we built in just four short years. A brand that already has achieved over 70% brand awareness. iHeartMedia puts greater focus on our powerful local and national brands and industry-leading platforms, including broadcast radio, digital, events, outdoor, mobile and social. Our new name better reflects the scale, impact and reach, and looks to our future and not our past. It’s now easier than ever for our advertisers and other partners to take full advantage of the range of content, audiences and experiences we deliver across multiple platforms in cars, on stages and everywhere consumers want to find information and be entertained. With advertisers, the name alone open doors and doesn’t peg us as any one platform, including broadcast or outdoor media. Ultimately, our whole company is focused on becoming the number one multi-platform media company in revenue and earnings, in addition to already being number one in reach in United States. So, this is an exciting opportunity to monetize our assets better and get our fair share of advertising spend. As you know, there was no name change for outdoor, Clear Channel Outdoor is a strong and globally recognized customer facing brand in all the countries in which it operates and Clear Channel is the brand that outdoor customers know best. Clear Channel Outdoor is built into the fabric of our multi-platform company and remains a critical and core part of our business. We’ve invested heavily in our outdoor brand and infrastructure and continue to be very bullish about the outdoor industry. We are uniquely positioned to offer multi-platform solutions to advertisers by integrating outdoor with radio, digital, events and our other platform. The feedback on becoming iHeartMedia has been very positive from the advertising community. At our 4th Annual iHeartRadio Music Festival we hosted our first ever client summit, where we invited hundreds of advertisers and agency to hear about the new iHeartMedia. Even at 9 a.m. on the Saturday morning of Vegas, there was a great buzz in the room as our teams spoke about the immense power of our assets and the true unique opportunity that our multi-platform’s offer our advertising part. The advertising world is moving to buy ROI, return on investment, not ratings or impressions as it does today and we’ve stemmed a greatly benefit from this trend since we provide huge ROI reflecting our audience size, our scale and the impact we have, none of which have been fully monetized. We also believe outdoor is significantly undervalued and this moves to ROI will greatly benefit outdoor as well. Now let me share some thoughts on the quarter before diving into the business segments. We continue to make great progress in key areas of the company. At iHeartMedia, we had strong growth in our national advertising business, as well as event. America’s outdoor continue to improve after coming up a challenging first half of the year, with revenues down slightly year-over-year and our international outdoor business continues to deliver through both organic growth and new contracts. Earlier this month we announced the partnership with Omnicom Media Group. Our agreement provides a wealth of entertainment opportunities for OMG’s client. They will be able to develop more effective creative media campaigns that utilize iHeartMedia’s cutting edge multi-platform content and data, allow advertisers to better maximize and leverage campaigns spending and marketing spend across our broadcast platform, our digital properties, as well as our 20,000 (indiscernible). The OMG alliance builds on our partnership with Horizon and that’s early this year, and together they underscore at major agencies and clients indeed increasingly appreciate our multi-platform assets. The way we work with major advertisers and agencies to develop unique programs to address their individual needs and the results we deliver. The key players in advertising are driving towards fewer CAGR and more well-defined relationship, where we believe is the beneficial trend for iHeartMedia continue add diverse set of media assets, our size and our reach, including broadcast radio, digital, mobile, social, outdoor and events. Now turning to slide number four, as we’ve discussed on our last couple of earnings calls, financial discipline and tight expense management are key priorities for us and we have delivered. Looking at slide four, our results today highlight these efforts, both on the financial perspective and in terms of our business decisions. Our revenues up 3% year-over-year and our OIBDAN rose 9% on a consolidated level. When looking at our business segment and excluding spending on our revenue and efficiency initiatives from this quarter and the third quarter of 2013, as well as certain litigation expenses, our OIBDAN was up year-over-year in every business segment for the first time in two years. At iHeartMedia, we grew revenues in the market that continues to be soft across radio and political, while continuing to tightly manage expense. At International Outdoor, some of the new contracts, as we promise last quarter, continued to ramp up and drive revenues and OIBDAN. This includes our airports contract in Rome and our digital malls expansion in France. At Americas Outdoor, we have made a lot of progress this year, despite headwinds on the national front, the loss of the LA Digital Board and continued softness in the market. I’ll expand on those points a little later. Before turning to our business highlights on slide five and six, let me mention we have about $18 million of costs related to revenue and strategic efficiencies this quarter, the same level as in Q3 2013. You can expect to see these types of costs again in the fourth quarter as we continue to invest in these initiatives, but we are already beginning to realize the benefit. Again, on a consolidated basis, our revenue grew 3% and our OIBDAN was up 9%. Now on to our highlights, starting with slide five at iHeartMedia, we hosted our 4th Annual iHeartRadio Music Festival last month. We have doubled our social impressions from last year, reaching over five billion which is on par with the Academy Awards and more than twice the size of the Halftime Show of the Super Bowl. We are also continuing to drive strong engagement with Millennials, with over 80% of the social media post relating to the festival coming from the 18 to 35-year old demographic. From a content perspective, we of course air the concerts live in our broadcast stations and stream them on the iHeartRadio App, both mobile and PC as well as continued to leverage our partnerships with Yahoo and the CW Network. Yahoo stream the concert online via their live stream and the CW Network air the concert as part of a tonight TV special. The iHeartRadio and Music Festival is the perfect example of our multiplatform company of work. We also just announced our inaugural iHeartRadio Fiesta Latina, a first of its kind mega concert event for Latin music fans nationwide, featuring Pitbull and Ricky Martin among many other top names in the Latin music community, performing live at LA Forum on Saturday, November 22nd. We also released Savannah's at the annual iHeartRadio Jingle Ball Tour taking place in 13 cities, Taylor Swift, Maroon 5, Sam Smith and other top artists will lead the All-Star lineups in New York, Los Angeles, Miami, Boston, Chicago and other major cities. These events are great opportunities to continue developing our strong relationships with the artists. Just last night, we hosted a unique Super Session with Taylor Swift for her new album 1989, which included an amazing performance broadcast across our radio stations nationwide through iHeartRadio and stream live on Yahoo App. We are pleased that our events business keeps growing, enabling us to reach new audience statements as well as provide innovative ten-fold opportunities for advertisers across a variety of categories to connect with their consumers. When I look at our 2014 events rosters and sponsorships, we had both first time sponsors and returning sponsors support our event, which really speaks of the national platform we build in a relatively short period of time. For example, Macy’s, State Farm, MasterCard and Pepsi are all returning advertisers who each sponsored one or more events this year and less. We’ve also brought first-time events sponsors to our platform across a variety of categories. Auto with Ford Motor Company, quick-service restaurant with Taco Bell, Spirits with Jim Beam in bourbon and telecom with Sprint, just to name a few. Our National Sales Group continues to execute on unique custom solutions that provide unmatched consumer engagements using our events business to power new growth. The iHeartRadio App also continues to grow across registered users and total listening hours or TLH. As of September 30th, we’ve reached 56 million iHeartRadio registered users, growing 43% year-over-year. Our TLH was up 10% over the third quarter of 2013. I cannot emphasize enough but we continue to use the power of broadcast to build and drive the growth on the iHeartRadio platform and brand and our iHeartRadio reached a 50 million registered user milestone faster than Facebook, Twitter and Pinterest and faster than any digital user service. We also continued to focus on expanding the distribution of the iHeartRadio platform everywhere our listeners are, whether in or out of home. We recently became the first music partner for Android Wear, enabling users to have the iHeartRadio App installed on their Android smartphones to control their iHeartRadio listening experience on their wearable with voice activation. iHeartRadio is now available through the Internet and iHeartRadio App on more than 35 platforms including mobile, tablets, automotive partners, smart TVs, gaming devices and more. Before moving to outdoor, I want to take a second and talk about our local broadcast radio business. Our tremendous reach and influence with consumer has build on the strong foundation of our local radio station brand and franchises. At our stations, we have built strong local team with incredible depth event. We are excited about the innovation and creativity that’s coming up for our individual markets at all levels from the market presidents to the sales and programming teams, account executives and especially from our on-air talent. With our account, we’ve also put a strong emphasis on expanding opportunities for on-air personalities across the company over the past 12 months, from our national star with Ryan Seacrest, Elvis Duran, Bobby Bones, Breakfast Club, Steve Harvey, Angie Martinez and many other well-known and established names as well as developing many up and coming names that you will be hearing about in the future. Moving on to outdoor on slide 6, we continue to grow our digital presence with over a 1,100 digital billboards in North America and over 4,200 digital displays internationally. In international outdoor, we launched Play London, a digital outdoor expansion initiative in the U.K. Play London will feature the nationwide expansion of Storm, our network of premium digital boards, and Adshel Live, our network of bus-stop panels. Hundreds of digital sites for premium city-center locations will go live across the country by the end of 2014. Next, I will spend a few minutes to review our segment results and then, we will wrap up with liquidity before opening the line for questions. Starting with iHeartMedia on slide 7, revenues were up year-over-year despite another soft quarter by industry level. According to Miller Kaplan, the overall radio industry was down during July, August and September driven by weakness in level. We significantly outperformed the market and grow our overall radio business year-over-year, driven by growth in national as well as our network business which includes traffic and weather. The growth is partially offset by weakness in our local core radio revenues, although we did outperform the market in local as well in July, August and September. Among the quarter’s top categories were auto, financial services and home building. We think that part of the reason of it is over delivery. We see this as a success we are having in bringing new revenue to this sector from advertisers who have now historically spend with us or in radio. This reinforces my early point that advertisers are moving to buy ROI, return on investment and as I said before, we stand to benefit from this strength. We also saw some benefit from political, which I will go into more detail on slide 10. But let me talk about our overall trends there before moving onto iHeartMedia spends and the pace. Political has been softer than expected this year, driven by the lack of competitive races in the longest base. The closest races are taking place in smaller market such as Kentucky, Colorado and Iowa. There is no doubt that the lack of competitive races in the bigger market is the most significant factor in the political softness for us. One thing worth mentioning however is that historically we’ve been more successful in selling talking news to political advertisers. With our launch of audio early this year, we’ve been more successful in selling music stations to political campaign, a trend that we will work to extend the future political year, narrow expenses. Over the last few quarters, I spend a lot of time telling about our focus on tighter expense management and our results reflect these efforts. iHeartMedia expenses are down for the second quarter in a row when excluding spending on revenue efficiency initiative totaling $5.4 million in this quarter, compared to just $3 million last year. On a reported basis, expenses are essentially flat. We are committed to growing the topline tightly managing expenses, drive more revenue to the bottomline. And that is how we’re going to continue to run this company. When adjusting for our spending on revenue and efficiency initiative, OIBDAN is up on the 2% or up over 1% on a reported basis. While we continue to invest in strategic revenue of this initiative through remainder of the year, we expect to continue to see larger expansion in the fourth quarter. Let me cover our fourth quarter pacings before turning to Americas Outdoor. Fourth quarter pacing through the end of last week at iHeartMedia are above 1.3% with core stations up 0.3%. As you heard me say before, these pacings are just a snapshot in time and certainly don’t include everything we do as a company. Moving onto Americas Outdoor on slide eight, our revenue and expenses are essentially flat while excluding the impact of foreign exchange. On a reported basis, revenues and expenses reached down abut 0.5%. Please note that our expenses in the quarter also included $4.1 million in litigation expenses related to billboard permit disputes, up $1.8 million year-over-year. OIBDAN was up about 0.5% in the third quarter excluding these expenses. As a reminder, on a reported basis, Americas Outdoor was down 6% in the first quarter and down 5% in the second quarter compared to down only 1% in the third quarter. We continue to make meaningful progress improving business and this is evident as we are getting Americas Outdoor back on track. Naturally, as I told you on our last couple of calls, some large accounts pulled back on their outdoor spend earlier this year. Even though we had some traction on getting spending back on these accounts, we still have an overhang in this quarter’s results, thus a meaningful portion of our business is built on a long-term basis, additionally as we continue softness in the national market. Last year, we saw a larger number of product launches across telecom and tech. And those dollars just haven’t been here this year through the same extent. Our local and regional businesses remain strong and we continue to grow our digital presence which better serves advertisers as they increasingly see more immediacy, flexibility and real-time marketing capabilities. From an organizational perspective, we are well underway in our search to hire CEO for Americas Outdoor. In the meantime, we assess the office of President which is comprised of three seasoned outdoor executives with experience to close sales in operations and then report directly to the CEO of Clear Channel Outdoor, William Eccleshare. As for our pacings again, they just reflect one point in time. Fourth quarter pacings are currently down 1.5%. Let me share that we have seen overall improvement in fourth quarter pacings. In early August, our fourth quarter pacings was down over 5% and early October, they were down over 2%. And as I just mentioned, today fourth quarter pacings is down only 1.5%. Our local business is pacing up but that is offset by some weakness in national. Turning to slide nine. Our international team continues to deliver with revenues up 6% or up 5% excluding the impact of foreign exchange. Consistent with the first half of the year, Western Europe was a big driver for us with our new contracts early this year continuing to ramp up, particularly with Logan airport contract and the new digital more contract in France. Sweden also continued to experience strong organic growth in the quarter. Revenues in the emerging market also increased, driven by new strategic contract in China. Expenses were up 4% on both the reported basis and when excluding the impact of foreign exchange. As we spoke about last quarter, huge contract drive expenses in the short-term but become significant OIBDAN contributors in the long-term. We are already seeing the positive impact from new contracts launched early this year ramping up. Our OIBDAN growth was up 14% in the quarter, excluding foreign exchange, were up 13% on a reported basis. We continue to be excited about the performance of our international outdoor assets and the growth opportunity from strategic and financial perspective. Fourth quarter pacing for international outdoor is around 2%. On slide 10, we showed some of the items that affected the year-over-year compatibility. First in revenues, I spent some time early talking about the softness in new political landscape. Even so, we had nearly $20 million of political spend in the quarter on a consolidated level. As you know, political spend is a key revenue driver for cash. Our media representation business that is included in our other segment. Of our $20 million revenue from political, $7 million was the cash. I’d also actually note that this quarter included approximately $12 million of revenue related to an early termination fee, related to the termination of a representation contract. This will be essentially prepayment of revenues expecting future periods totaling approximately $2 million per quarter. On the expense side, we had approximately $18 million of course related to strategic revenue and efficiency initiatives this quarter. As I mentioned, nearly about $5.5 million of these cost were in iHeartMedia. We anticipate funding new strategic revenue efficient initiatives of the rest of the year as I have already told you that we continue to tightly manage our expenses, seek new efficiencies and drive more revenue dollars for the bottomline. Turning to slide 11. We reduced our capital expenditures by $11 million or 17% to $54 million this quarter, mainly driven by capital reduction at iHeartMedia which is down almost $13 million. This is yet another indication of our commitment to tight expense and financial discipline. Of that $64 million, approximately $43 million was invested in Outdoor. We spent $19 million in our Americas segment related mainly to the construction of new digital displays and $23 million in our International segment used primarily for new digital billboards and street furniture and renewals of existing contract. Our CapEx plans for the year remain unchanged at $300 million for iHeartMedia, Inc. Moving to debt on slide 12, we are staying focused on maximizing value of our business by continuing to provide capital structure and liquidity through capital markets and strategic transactions. As of September 30, iHeartMedia, Inc's debt net of cash totaled approximately $20 billion. During the quarter, we paid off approximately $222 of our long-term debt through the issuance and sale of note through 2021 to an iHeartCommunications, Inc's subsidiary. We also raised $1 billion of Priority Guarantee Notes through 2022 and prepaid approximately $975 million of our Term Loan B outstanding and $16 million of our Term Loan C outstanding. Recently we were back in the market to repurchase $57.1 million of 2016 junior debt at a discount further helping us manage our interest expenses in the near term. Remaining 2016 we have approximately $900 million in senior debt which we believe we could be opportunistic of refinancing as well as some legacy amount. As you know that’s quite a change from where we were 18 months ago and we are very proud of it. We now have a clear runway to 2018 and can focus on growing the top and bottomline across our business segments. Let me also note that you will see our income statement and interest expenses reported to be down year-over-year. Our refinancing transactions have resulted in elimination of some of the purchase accounting adjustments recorded back in 2008 from non-cash discount amortization interest expenses. Our cash interest expenses up year-over-year. As you would expect, our weighted average cost of debt is slightly up to 8.1% as of September 30th compared to 7.6% as of December 31, 2013. Let’s look to balance sheet information and the debt ratio on slide 13. iHeartMedia, Inc's cash on the balance sheet totaled $522 million at September 30th. Our secured leverage ratio was 6.4 times. Clear Channel Outdoor ended the quarter with $204 million in cash with a senior leveraged ratio of 3.6 times and consolidated leverage ratio of 6.4 times. We of course have a number of leverage available to us to enhance future liquidity if necessary, although we do have some added flexibility concerning the refinancing transactions I spoke about on the last slide. As we have said before, we are constantly and aggressively evaluating our businesses and asset portfolios. As we have demonstrated to our ARN divestiture, the sale of our non-consolidated [Hong Kong] (ph) Outdoor business and sale of other non-core assets like our XM, Sirius and Choice. We always look for the best ways to optimize our asset. We’re in the process of selling two of our buildings in San Antonio and we expect sale proceeds of approximately $30 million from those two building sales. Although we released these copies back and incurred incremental rent expense, this is an efficient way for us to enhance our liquidity position. At the same time, we keep improving our operations and reduce our working capital needs through various initiatives we run early this year at iHeartMedia, including centralizing collections of course our local stations and traffic and weather businesses as well as ramping up our efforts on collecting balances over 90 days old and standardizing our policies around accounts payable. We have seen some promising early results and we expect these initiatives will continue to get through the rest of 2014 and beyond. And we remain comfortable with our maturity schedules in the near term and we will continue to take disciplined and proactive steps to address our capital structure and liquidity. Most important, we are confident that our strategic and efficiency initiatives will fuel our future organic performance. I will close by saying that we’re pleased with our strong growth in always a down this quarter fueled by topline growth and tight expense management. We continue to build momentum across our businesses, developing long-term relationship with major advertising agencies like OMG and creating new revenue opportunities. As I mentioned earlier, this is the first time in two years that we will grow our OIBDAN in all our business segments on an adjusted basis when excluding spending on revenue and efficiency initiatives and certain litigation. We are confident in our strategy to become a number one multi-platform media company in revenues and earnings in addition to our industry leading. Now let’s open the line up for questions.
Operator: (Operator Instructions) First question comes from Jason Kim. Please go ahead.
Jason Kim - Goldman Sachs: Hey, good morning. Thank you for taking my questions. First on margins, directionally speaking, how should investors think about your ability to hit margin expansion in 2015 for the media segment? I know it’s not a political year next year and you continue to invest in the business to grow. But in terms of incremental spending levels, what’s your comfort level in being able to increase margins for the business in 2015?
Rich Bressler: This is Rich. Thanks for the question. So we are comfortable in one word. We expect to see margin expansion in the fourth quarter this year. We expect to see margin expansion in 2015. I think when you’re back to the first, second quarter of this year I talked about you start to see expansions level out. You saw that in iHeartMedia in this quarter. Actually in fact that’s the one-time item just as a reminder what I just a few minutes ago, expenses actually slightly down. So you see margin expansion and it really just a way life around here. It’s just -- we are constantly going through our 2015 budget as we speak and we are constantly looking, getting efficiencies at the organization, widening of the organization where it’s appropriate. I think we’ve taken a lot of steps to do that. And we will continue to challenge ourselves how to bring more money down to the bottomline.
Jason Kim - Goldman Sachs: Okay. Thanks. And any update on the LA Board situation that you can provide for us?
Rich Bressler: No real update. I mean, there is not much news on LA with respect to our 77, just to remind our 77 digital billboards. We are continuing to work vigorously, closely, productively with the city on the legislative solution that would allow us to turn back on as many digital billboards as possible -- as soon as possible, believe me nobody wants those boards on more than Bob, myself, William and Investor team. As I said before, this process does take time. I have never put a timeframe on it back when I first started having these calls, I will now. What we are trying to do in the interim is selectively see permits to come some of the boards back to the traditional vital static signs. We converted two boards in the second quarter back to static signs. We converted five boards, I think this is in the third quarter back to static sign. So again, this is -- just based on the numbers to time meaningful from the revenue perspective, but it’s a good parallel step. We got to keep our feet moving that we can take while we work through the legislative process.
Jason Kim - Goldman Sachs: Okay, great. And if I can ask a one more on the balance sheet side of things. You guys have included then a lot of on the liability management side of things this year, but the nature of the market is always thinking about what’s next for the company. So how do you feel about the liquidity for the company right now and thoughts about the remaining 2016 maturity? And should we be thinking that your order of priority still remain 2016 maturity first? Or do you feel like the amount that come in due in June '16 is manageable enough for you to start buying back even some of the 2018 maturities in the open market that are trading at this time below par?
Rich Bressler: Hey, Jason, let me just start and then I’ll turn it over to Brian who is with me right here. Let me just highlight on, there is obviously two sides of bouncing or bunch of sites. But first just on assets sale, we’re obviously -- non-core asset sales, we’re continuing to look at our business asset portfolios and optimize that. We indicated that the last couple quarters and now this quarter we talked about the sale of our buildings in San Antonio. We expressed the first seems to be approximately $30 million on the lease sale back. So again similar to what I talked about earlier on expense management similar to capital expenditure which you saw on a year-over-year basis, we’re down in capital expenditures particularly at iHeartMedia, I mean that’s slightly on the Outdoor business which are revenue producing assets. So again that really continues to be way a life on the non-core asset side. I’ll turn over to Brian for the balance sheet liability management.
Brian Coleman: Sure. We were out in the market and we repurchased $57.1 million of the 2016 note. I think that’s a good indication of how the company uses its liquidity position. We feel pretty comfortable about where we are and I think that we can do. There were some market volatility, maybe even this location over the past couple of weeks. We’re opportunistic. We bought back that at a discount. I will point out that we purchased 2016 indebtedness. We did not purchase any 2018 indebtedness. So when we think about focus, I think we will continue to be opportunistic, although the markets aren’t today where they were the past couple of weeks. We will focus on 2016. We will look to refinance the remaining term loans that are now below a $1 billion. And we will always look to be opportunistic. But again, I would kind of take a look at the actions that we’ve taken and take that as an indication of our comfort level with respect to our liquidity position.
Jason Kim - Goldman Sachs: Thanks for the thoughts.
Operator: (Operator Instructions) Our next question comes from Lance Vitanza. Your line is open. Please go ahead.
Lance Vitanza - CRT Capital Group: Hi, thanks. I wanted to start with the Omnicom partnership. Can you tell me does this reflect a shift in strategy amongst advertisers? Or was this more of a competitive victory? In other words, did you take business away from another radio company? Or is this money coming in from some other media?
Rich Bressler: So couple of things, so thanks. So look we have a longstanding relationship with Omnicom, as quite frankly we did with Horizon when we found that deal early this year. The way to think about it is that it underscores that the major agencies, major advertising agencies are these first and clients continue to really appreciate our multi-platform assets, what we’re doing, what we’re delivering on, what we’re achieving, the way we work with major advertisers. And what this enables us to do is to build unique programs to address the advertiser’s individual needs, the results we deliver and really gives them a unique partnership, really gives them unique partnership with us. From a financial perspective, neither the deals are all incremental that we serve these executives as I said for a long period of time. What’s important here is really the innovation for their clients and again an indicator of our ability today to deliver dynamic marketing solutions. And as I mentioned those are my opening remarks, look everything is going to move to ROI. That’s what it can be about it. It can be about the dollars that will get put out of the door by advertisers and companies and then therefore the return that we as in the media can all deliver back to them. We’ve talked about the results before of that. Nielsen came out with a study that on average we are six to one, dollars in versus dollar out. So we think we stand the benefit greatly as the world goes to ROI and we expect our outdoor business to benefit greatly also.
Lance Vitanza - CRT Capital Group: Thanks. And then just the one another question, about a week -- on the iHeart segment side, about a week before the quarter ended, when you were marketing your bond deal, you provided pacings that were plus three if I remember correctly or closely to plus three. You came in at round plus one, can you explain the variance there for us?
Rich Bressler: Sure. But you know -- but I just have to say this, which you know I said this every quarter, I hate giving out pacings. That’s why I hate giving out pacings because it’s just a reminder pacings for a period of time. Let me give you a couple of things on that. Having said that, first of all the industry was overall weak in the third quarter. We significantly outperformed in market based on Miller Kaplan. And September was weaker than August. The political dollars came in a bit softer quite frankly than we expected which I mentioned in my opening remarks. Plus we also had some timing issues with Jingle Ball and the Festival. I know, you’ve seen I reiterated that pacings, I think as we say today 1.3%, so we’ve improved since we closed out the quarter.
Lance Vitanza - CRT Capital Group: Thanks very much.
Operator: And our next question comes from the line of Avi Steiner. Please go ahead.
Avi Steiner - JP Morgan: Thanks for taking the questions. I know you hate point in time. So I want to approach at least the commentary around Q4 in the media and entertainment segment by asking is there any tough comps that I should be aware of or any thing else potentially weighing on the segment as we think about fourth quarter this year?
Rich Bressler: No Avi, thanks for the question. No there is nothing overall in particular that comes to mind. The one thing -- the only thing general comment I would give you is picking up on the last question and in fact, it grew up 1.3% today. And we continue to significantly out perform the sector. I think you are seeing real evidence not just in the advertising agency deals that I mentioned earlier but just in revenue in their bottomline performance. It really start to -- really start to bring money to the sector -- bring money to the sector but has not come to the radio industry before. And again based on all the data, based on the ROI data we have, based on the case studies we have with lots of big advertisers like Discovery Network which advertise with us. We made short week number one across all the mediums in that week. If things like that as we build out the momentum, I think the industry continued improvement. But nothing, nothing in particular under comp basis.
Avi Steiner - JP Morgan: Okay. And then if I can turn to international outdoor for a second, you’ve had some nice revenue growths, some new business wins you’ve highlighted. When do we see the bottomline flow through there? I know there is a timing issue but if you can help us out there?
Rich Bressler: So we’ve had -- may be you and I have a little different definition of really good performance on the bottomline. I think we were up 14% this quarter on a reported basis, 15% on FX neutral basis overall in the quarter. So I think we’re really starting to see the bottomline expansion we had. We’ve had margin expansion in the last couple of quarters, the increase that we’ve have we -- yes we’ve -- I mentioned before we have had some increase in expense because there is some airport contracts, some digit -- in Rome, some digital more contract in France. We’ve had some new contracts in Sweden. But if you look at the top line as we talked about earlier in the year, these are countries and management set up, delivered every time we’ve allocated capital to them with margin expansion and with bottomline growth and at least eye full one or due to that 14% increase on the recorded basis and then international outdoor, 15% on apples-to-apples basis with foreign currency. I think that’s pretty good margin expansion. Obviously we could always do better. But I give William and his team great kudos for the job they’ve done outside the United States. I’d put them up against any management team out there.
Avi Steiner - JP Morgan: Fair enough and sorry for that. Balance sheet for a couple of questions and I will turn it over. The 5.5 that you bought back, not a huge amount but I am curious why you decided to keep that outstanding relative to, I guess prior purchase where I believe you retired them. And then the follow up to that one, if hypothetically you ended up buying significantly more, would the existing no condition will be triggered if you help them and then retire those numbers?
Rich Bressler: Okay. On the first one, I think our typical practice is when we repurchased that and restricted that, we actually keep it outstanding. There has been a couple of cases several years ago where they -- (indiscernible) acquired us to retire them but typically we don’t in the unrestricted subsidiary and so we just follow a standard practice here. The second question, I want to think through a little bit. If we bought in these notes, could we accelerate the existing notes condition, is that the question?
Avi Steiner - JP Morgan: Yes. If you go below the $500 million thresholds but kept those outstanding.
Rich Bressler: I don’t think they are technically -- I think we repurchased them but we don’t cancel them. They are not technically outstanding. So, I do not believe that we would accelerate the existing notes condition. I may want to check on that but they are not technically outstanding. So, I still think they count under the debt agreement. One thing I would point out is we would need to retire nearly all of the 2016s, or repurchase nearly all of the 2016s and retire them in order to do that.
Avi Steiner - JP Morgan: Okay. Thank you for that. Last question for me. Can you remind us, I guess based on last public disclosure anything else you want to provide? What the sponsors own or control of your debt. And while you’ve done a good job kind of selling assets and talking about the couple of other ones, I am wondering if there is under capital management side that working capital has been great and progressing. Wondering if there is a more holistic solution to the cap structure here and obviously you may not want to share that with us, but I’m just wondering how you think about -- you’ve got a short-term staff but longer term how you think about this balance sheet?
Rich Bressler: Well, I think, I’m going to take in reverse order, Avi. You’re right, to the extent there is more holistic strategic solution. I’m sure there is a lot a lot of people thinking about it but that’s not something we can really talk to on earnings call. I would say that certainly the sponsors. I’m thinking about all the things they can do and I’m not privy to many of those conversations. But going into the first part of your question, actually -- would you repeat the first part of your question because I don’t want to get it wrong.
Avi Steiner - JP Morgan: Well, I just want to -- I think in different proxy statements you’ve disclosed what the sponsors or certain divestitures may hold up your debt and I wanted to get?
Rich Bressler: Yeah. I would kind of respond that it’s just in a proxy statement. I actually think we do update affiliate positions in some of our offering documents, so it’s not something that we update on earnings call or have special disclosure around. But certainly we do update in our annual proxy that’s available. And I do believe we make reference to affiliate positions in some of our offering documents when we issue debt. So, I refer you back to those public documents for a response there and I apologize for having you repeat the question.
Avi Steiner - JP Morgan: Thanks for the time, gentlemen.
Operator: And we have a question from the line of Tracy Young. Please go ahead.
Tracy Young - Evercore Partners: Yes. My question relates to the Americas. In the release you mentioned that higher digital revenues were offset by decreases from traditional product lines. I assume that is partially related to the Logan airport contract. How is that airport doing and also what should we assume for digital boards in terms of ramp up for the year? Thanks.
Rich Bressler: Yes. Thanks. So, I mean, Logan airport contract that’s relatively small to be honest in the overall scheme of things. The traditional front, we’ve talked about national every quarter and that’s where we’ve driven by national being down. As I said, we’re starting to see some improvement. We obviously have made changes in management. And I think while we made those changes, we saw obviously some improvement there and we talked a lot about that. Another tradition, with the recent traditional event is that was down as you convert board to digital you lose inventory from those converted boards and thereby you driving down the traditional revenue, just kind of the math. Digital is up because of the new boards we have in ’13. We’ve got full year revenue from those in boards. We continued to build out our digital presence this year. Just as a reminder, year-to-date we’ve added 57 digital boards across all markets in the U.S. And as I said out front, we starting to talk and interact on the ’15 budget. So we’ll continue to look to add boards in ’15 where it make sense, where we can get the return on investment, not only where we can get the return on investment and as around we typically we tend to add more boards in the fourth quarter of the year than we do in the other quarters.
Tracy Young - Evercore Partners: All right. Thank you.
Operator: Your next question is from Marci Ryvicker. Please go ahead.
Marci Ryvicker - Wells Fargo Securities: Thanks. When do you wraps the Logan contract, is that the beginning of next year?
Rich Bressler: It came off at the end of 2013 I believe, so, yes, beginning of next year.
Marci Ryvicker - Wells Fargo Securities: Okay. And then you mentioned for Clear Channel Outdoor Americas that a big percentage of your contracts are on a long-term basis? Can you talk about the average length of your contracts today maybe versus historically? I feel like the contracts have shortened in length, but I just want to make sure I understood about your comment then?
Rich Bressler: So look that, I’m not going to -- note, I don’t think you need surprise, I’m not going to talk about the average length because it really does. It varied by -- it varies by product, excuse me, by advertiser, by product, by category. I think the overall statement, which I’ve been talking about are consistently the last three quarters on an average, yes, things have shortened up in the timeframe. So, that I’ll reiterate and confirm, but other than that I’m not going to go into any detail.
Marci Ryvicker - Wells Fargo Securities: Okay. And one last question on the, I heard somebody talk about margin expansion in Q4 next year, is that all in or is that excluding the investment spend?
Rich Bressler: It’s going to be both. Its going to be, I think, if you include the investment spend year-over-year, you’ll see margin expansion, but we really look -- investment spend is going to be a little bit of way of IPO. And again, when we look at investment spend, just to be a 100% clear, we never attach or I never attach any digital value to it. So every investments spend is got to stand on its own and we turn our investment basis cash-on-cash. So it will really be both ways with and without.
Marci Ryvicker - Wells Fargo Securities: All right. Thank you.
Operator: And we have a question from David Miller. Please go ahead.
David Miller - Caris & Company: Yes. Hey, guys. On the, excuse me, on the third quarter domestic outdoor results, which was quite good, it was obviously above the pacing number that you issued 90 days ago. How much of that was due to lapping the Los Angeles digital situation on a comparison basis? And how much of it was taking share perhaps from CBS outdoor? Any commentary will be great? Thanks and then I have a follow-up.
Rich Bressler: Sure. Well, a couple of, so at LA came off, just as a reminder, fully came off in the second quarter. I think this is the first time getting the job, I haven’t been talking that. We’re looking at LA or that will lapsed full-time. I know LA is in our, not having LA, the other thing you remember is on digital national footprint of portfolio also. So it part was LA but part of not having it, also does quite frankly affects part of our overall national business that’s there. And also, I would said, we’ve made a bunch -- like I said, we’ve made a bunch of changes on Americas Outdoor within the top ranks of the organization. We’re looking to hire a new CEO for America, but really not much else to comment on in terms of LA Digital.
David Miller - Caris & Company: Okay. And then just to follow on the Los Angeles Digital situation. I mean, at one point, obviously, you’re facing some of the boards, you’re putting up sort of vinyl boards in the places of those particular boards? At one point do you sort of throw your hands up and just say, this isn’t working, we’re stuck in red tape and you just move to replace all the boards with vinyl? And then within that we heard some rumblings about some sort of court hearing that’s going to take place in the situation in Q1? Could you confirm that? Thanks.
Rich Bressler: So a couple of things, first of all, let me say unequivocally we never throw up our hands. So that would be oxymoron if you know anything about Bob and I, so we…
David Miller - Caris & Company: Yes.
Rich Bressler: … and the rest of the team, so we’re never going to throw up our hands. Look, we put up five boards this quarter, again I acknowledge that’s not meaningful, but to point about throwing up our hands, we’re continuing to move the ball forward. I’m not going to comment on any specific court hearings or court dates, because they get set up and I get frustrated as they get moved, they get delayed. I start like, looking to our people thinking, why can we do something about it? But productively, again, I had said this earlier, we are working with the municipalities on a legislative solution with the city that will allow us turn as many digital billboards as possible. And as consistent with the past, I don’t think, I have ever given the date, because, to some extent it’s out of my -- out of my control…
David Miller - Caris & Company: Yes.
Rich Bressler: … because of legislative process and I’m not going to give you date.
David Miller - Caris & Company: All right. Fair enough. Thanks a lot.
Operator: There are no further questions in the queue at this time. I’ll turn it back over to you.
Rich Bressler: Thank you everybody. Really appreciate spending the time and look forward to speaking everybody in the future -- near future.
Operator: Ladies and gentlemen, that concludes our conference. We’d like to thank you for participating and for using AT&T Teleconference. You may now disconnect.